Mattias Perjos: Welcome to today's conference. Next to me today I have our CFO, Lars Sandström, who will present the financials in a moment. Let's move directly to Page number 3. The positive overall story here is that we continue to create growth in all regions and business areas. In the quarter, order intake increased by just over 10% and the net sales by 6% organically. This is levels that we haven't seen for quite a long while in Getinge, so that's positive. The gross margin is adversely affected by market and product mix effect as a result of strong growth, primarily in emerging markets and in capital goods. We view this as a natural pattern in a growth phase like ours, and this is not expected to support future sales of consumables as our installed base continues to grow. In addition, in terms of mix effect, the Surgical Workflows and Life Science increased their net sales at a higher rate than Acute Care Therapies, which also contributes to the lower gross margin for the group. If we look at EBITA then, this amounted to SEK538 million, negatively impacted by SEK69 million currency headwind. We can also see that our operating expenses have stabilized after a number of quarters of incremental increase, but we can still not exclude it will have some incremental increases in the second half of the year, primarily as a result of ongoing remediation linked to the FDA Consent Decree, and there are still some needs to fill minor gaps in the sales and primarily service organization. If we look at the bottom line then perspective, we have a SEK1.21 earning per share in the second quarter. Then we move to Page number 4, please. If we go over then the key activities in the second quarter. Overall, we are continuing to make progress according to our plans. If we start with the growth perspective, we can see that our systematic sales approach supports growth in all business areas and regions, which I mentioned initially. In the quarter, we've also launched a number of important update and new product in all our business areas. What you see in the picture here is our Flow-c anesthesia machine, which has been very well received by our customers. If we look ahead then, our comps for the second half of the year are tougher. So we've increased the guidance overall, but we don't expect to continue with the same numbers as we saw in the second quarter. But we have good order intake momentum, which is a very positive base. When it comes to quality, which is really, at the end of the day, about our license to operate, we're continuing with the rollout of the updated group quality management system. We're also progressing with the remediation related to the Consent Decree with the FDA. Our US sites are expected to be in a remediated phase by the end of this year. This doesn't mean that we are out of the Consent Decree with those sites, it simply means that they are remediated, this is the heavy phase of remediation and that we can focus more on productivity and also drive sales and marketing in a different way than we've been able to the last couple of years. This is just to give you two examples of what it means. To get out of the Consent Decree altogether, all sites needs to be remediated for a period of time, and there is still work to be done in Rastatt and Hechingen, which we have mentioned earlier, and this is expected to take longer than the U.S. site. If we then move to cost efficiency. Here we're focusing on increasing productivity at the same time as we continue to make some necessary investments, and these investments are related to primarily our quality management system and sales and service. We're starting to see positive signs from these efforts. You can see OpEx was flattening out in the second quarter compared to the first quarter, and then there we've had a couple of quarters of increases as you have seen before, which are not excluded, there will be some incremental increases during the second half of 2018. We still need the flexibility that we've talked about earlier to make sure that we meet the requirements related to remediation and within sales and service. A couple of other key points. When it comes to Brazil, we have been collaborating with the authorities in Brazil from Day 1, and regarding their investigations into medic, medtech industry practices in Brazil. As a consequence of this, we've made an agreement with one authority in Brazil, the outcome of this is that we will pay a SEK276 million fine, which is covered by the provision that we made in the first quarter of this year. We also have made now in the second quarter a SEK64 million tax provision for self-correction of the tax returns related to ongoing, these ongoing investigations and negotiations. And we continue to have negotiations with additional authorities in Brazil, and we expect these to be closed by the end of 2018. With that, we can move to page number 5, please. As I said earlier, we saw a strong growth generally in the quarter. From a regional perspective, we had good developments in emerging markets and in capital goods. So overall, 10.2% organic order intake growth. In EMEA, we see significant growth in Eastern Europe, in the Middle East and in Africa. If we then look at the sales perspective, we had 6% organic sales growth in the second quarter. Similar pattern here as overall we, as with all order intake, strong growth in capital goods and in emerging markets. Asia Pacific stands out as really positive with strong growth in all of our business areas. Americas ended up being flat in the quarter, and this is mainly due to lower sales in Acute Care Therapies and especially within the product category covered stent, where we've been seeing increased competition since the second quarter of 2017. We do see though a flattening of the decline from the end of the year of the quarter. Then we can both move to page number 6, please. If you look at where the contribution in order intake comes from then, as I mentioned, all business areas grow in order intake, 10.2% growth year-on-year combined. In Acute Care Therapies, we had 3.5% growth, which corresponds to SEK110 million in absolute terms. Here, we had good momentum in Cardiopulmonary and in ventilators and also our intra-aortic balloon pump business. We had very strong growth overall in Asia Pacific, where China and India are developing particularly strongly. If we then look at Life Science, this was up 20.3% in the quarter or SEK112 million in absolute terms. Very strong growth in all regions and throughout the product portfolio, especially promising growth in Disinfection and sterilizers, which are both capital goods sales. When it comes to Surgical Workflows, we had 18.5% growth in the quarter, SEK372 million in absolute growth. Geographically, growth across all of our regions and particularly strong development within Infection Control and in Surgical Workplaces. So all in all, we see strong continued momentum with really promising order intake in capital goods and in emerging markets. With that, we can go to page number 7. So we look at the breakdown of the contribution in net sales in the second quarter. We had net sales grew -- grow with 6% organically. Actual growth was a little bit higher, 6.7%, due to a SEK40 million tailwind from currency. We also see that capital goods continued to grow faster than consumables, which has put some pressure on short-term margins, as consumables normally come with a higher margin than the capital goods. Long term, a larger installed base is expected to support margins as it tends to lead us to higher demand on consumables and service work. If we look at Acute Care Therapies in detail, we had 1.5% growth there, SEK54 million, strong development particularly in Cardiopulmonary and intra-aortic balloon pumps. We could also particularly see Cardiopulmonary grow very well in East Asia and in Latin America. We had a little bit of a drag from a decrease on sales on covered stents in the U.S., and this is again because of the increased competition that we've been seeing since 1 year back. We do expect the comps to be a little bit easier for the second half of the year when it comes to the covered stent situation, so the trend is changing to be a little bit more favorable here. When it comes to Life Science, we had 32.7% growth or SEK144 million growth across the board, all regions and the product categories. EMEA had the largest sales increase in absolute terms, which is mainly attributable to 4 major projects in the UK and in Germany. And also here, we can see the growth in capital goods continues to increase at a faster pace than consumer goods. If I then look at Surgical Workflows, we had 7.6% growth of SEK164 million. Also here, from a regional perspective, growth across the board. We had extremely strong development in Surgical Workplaces, especially in emerging markets and related to a number of larger projects as well. With that, we can move to page number 8, please. If we then look at the second quarter from a gross margin perspective, our gross profit increased to SEK2,844,000,000 in the quarter. This was driven mostly by volume from Life Science and from Surgical Workflows. When it comes to gross margin leverage from the larger volumes, we see some initial positive signs here, but this is offset by currency and the product and market mix impact at the moment. We are continuing to work on taking down cost in direct spend and also with continuous productivity improvements in each factory. But this is also is a very long-term continuous improvement work that will be ongoing for quite a while. The largest opportunities when it comes also bringing down costs, it lies actually further ahead and this is about R&D and pruning of the product portfolio and also structural adjustments regarding footprint and so on. So it's a balance of short and long-term initiatives going on there. The headwind from currency equals approximately 1 percentage point of the 3.1 point deviation in gross margin year-on-year. The remaining 2 points comes from product and market mix factors. And as I already mentioned, the growth in capital goods and emerging markets as well as more rapid growth in Surgical Workflows and Life Science compared to Acute Care Therapies, is the main reason for this development. The organic growth in order intake for this quarter with high volumes in capital goods and emerging markets also indicate that you shouldn't expect a sudden change when it comes to mix factors. But as I said earlier, the mix is a quite natural development in the growth phase that we are in. And long term, we expect that the larger installed base will support sales of consumables, which in turn will support the gross margin. We also need to continue the work that we've started with our value segment offer to make sure we stay competitive going forward. With that, we move over to Page number 10, and I leave over to you, Lars, to go through the financial development for the second quarter.
Lars Sandström: Thank you, Mattias. Let's take a look at the BA contribution to EBITA then, which was negatively impacted by currency headwind of 69 million in the quarter. And if we start with Acute Care Therapies, we have an EBITA lower with 42 million to 596 million, corresponding to EBITA margin decrease of 1.7 percentage points to 18.9%. And here, the margin impact from currency, about 1 percentage point and lower gross margin mainly due to lower sales for stents in U.S. In Life Science, EBITA decreased 12 million to 52 million, and here the margin reduced with 6.3% to 9.5%. And here, the margin impact from currency is 1.6 percentage points, and the lower gross margin here is due to mix factors and somewhat higher OpEx due to remaining costs after the spin-off of Arjo and the build-up of new business area. And finally, Surgical Workflows. EBITA lower with 88 million to minus 39 million here in the second quarter, and the margin is reduced in 4.5 percentage points to minus 1.9. And here, margin impact coming from currency is impacting that 1.5, together with lower gross margin due to the mix factors and higher OpEx. And here, it's related to sales resource in the U.S., higher logistic costs and remaining costs following the spin-off of Arjo. Then please move to Page 11. As you can see, the margin decrease amounted to 3.7%, where 1.3 percentage points is explained by currency and 2.1 percentage points by lower GP margin. And the remaining 0.3 percentage points is coming then from OpEx and depreciation. And for the GP, gross profit here, the highest sales was partly offset by the lower margin, resulting in a positive contribution of SEK16 million there. And as mentioned before, it was mainly related to the currency product geographical mix. On OpEx, selling and admin was at a higher level year-on-year following the standard costs from Arjo spin-off and investments made during 2017 and the first quarter of 2018. But when compared with Q1 2018, OpEx is flattening out. The difference was only SEK40 million or 0.7% on adjusted OpEx. And this resulted in adjusted EBITA of SEK538 million with a currency impact of minus SEK69 million. Then let's move over to Page 12, please. When looking at our cash flow, I would like to remind you that it's quite difficult to compare this year's performance with cash flow for 2017 as this includes the cash flow from Arjo as well. But looking then in the quarter, we saw a cash flow impact from working capital of minus SEK39 million, impacted by growth in inventory as a result of increased order intake and sales. Together with net investments, where R&D is the most significant part, this resulted in free cash flow, after net investments, of SEK47 million. The payments of the fine of SEK276 million related then to the ongoing investigation in Brazil is scheduled for the fourth quarter here in 2018. And then the net debt increase is mainly due to currency effects and the dividends paid out during the second quarter here. I'd just also like to mention here on the finance net in Q2, it was minus SEK74 million versus SEK121 million in Q1 then. And here, the reduction is mainly related to costs and currency impacts connected to the refinance activities during the quarter as well as somewhat lower interest costs. So when looking at the first 6 months, this gives you a better view on the underlying financial net. All right then, let's move to Page 14 and over to you, Mattias.
Mattias Perjos: Right. Thank you, Lars. If we then have a quick view of the outlook for 2018. We can see from a growth perspective now, as a consequence of the strong growth in the first half of the year, we adjust the outlook on organic sales growth for the full year of 2018 to be well within the range of 2% to 4%. Perhaps some of you think that, that is still quite prudent, given the growth that we've seen so far, but it's important to remember that the comps for the first half of 2018 and the second half of 2018 are quite a bit a different, so it's much tougher comps in the second half of this year. When it comes to currency, we also see a need to adjust the outlook for currency transaction effects on EBITA. We estimate this now to be minus SEK175 million. This is due to the higher volumes in sales and productions. With that, we can move over to page 16 and a brief summary of the takeaways from the quarter. So the key takeaways for the second quarter is that we continue to deliver very strong organic growth, not seen in getting it for a long while, and we are upgrading the outlook for the full year. Our gross profit increased slightly, but our gross margin was adversely impacted by product and regional mix and also currency. Long term, the mix is expected to report gross profit and margin has a larger installed base also is expected to support the sales of consumables and of service work. From an OpEx perspective, we can see that the OpEx is flattening out versus the first quarter of 2018. I want to remind you though that we still need some flexibility for the second half of the year, so we cannot exclude some incremental increases in the second half of 2018. We've also reached an agreement with the Brazilian authority, which means that we will pay a SEK276 million fine. And this is covered by provision that we made in the first quarter of 2018, and we've now made an additional tax provision of SEK64 million in the second quarter, and this is for a correction of tax returns related to the same issues in Brazil. We've had several product launches in the quarter. We've had the Flow-c anesthesia machine in Acute Care, we have it upgraded and a new, getting a steam sterilizer in Life Science, and we've also had some good launches when it comes to Surgical Workplaces and the operating table portfolio. So finally and overall, I look forward to the second half of the year. We continue our focus on innovation, on customers, on the quality of work and also on the cost awareness and productivity. So with that, I end the presentation and open up for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Alex Gibson from Morgan Stanley. Please go ahead. Your line is now open.
Alex Gibson: I have 2. The first one's on U.S. China tariff. I just was wondering how you think the U.S. China tariffs will impact your business over the coming quarters and what remediation works would you potentially put in place? And then I'll ask my second after.
Mattias Perjos: All right. Thanks, Alex. The first question here regarding the U.S. China is extremely limited. We've looked at this, and it really has no material effect on our business.
Alex Gibson: And just a quick follow-up. If there was any more products included in an escalation of the tariffs, how quickly do you think it would take to change or shift the distribution of products?
Mattias Perjos: It's impossible to speculate on this. I think, we've gone through the portfolio, and based on what we know now and the risk of tariffs, we don't see any material impact on our business, but I cannot speculate in what may happen here.
Alex Gibson: Okay, that's fine. And then my second one's on, you talked about further investments into the business more broadly. Can you specify precisely where these are going to be spent and in which regions you're increasing your investments?
Mattias Perjos: Yes. I think there's still 2 main categories here. One is related to quality, the future group quality system and the remediation work. So this is mostly related to the --for Consent Decree side. And then from an overall perspective, it's a global investment, obviously, for a global system. When it comes to sales and service, sales is mostly related to Asia-Pacific and service is rather global.
Alex Gibson: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Kristofer Liljeberg from Carnegie. Please go ahead. Your line is now open.
Kristofer Liljeberg: Thank you. Two questions from me. The first one relates to the gross margin. Could you say anything how we should think about the gross margin now in the second half versus what we saw in the first half? Or maybe more specifically the second quarter, and maybe also how to think about it versus 2017, considering that whether it seems to be driven very much by capital equipment and emerging markets? Also, related to the gross margin, I wonder if there's any price component here as well, because even if I look at surgical workstations and installation, it seems that the margin is down 2% there. Must be something more than FX, I guess. So that's my first question. Then the second question relates to the FX impact, which seems to be less than 1%. And I'll struggle to understand that, considering that you have U.S. dollar up 2%, I think, year-over-year; euro plus 7%; pound, plus 9%; and the Japanese yen, plus 6%. So there must be something going in the other direction, maybe it's related to emerging markets. But if you could share some color on that, it would be helpful. Thank you.
Mattias Perjos: Thanks, Kristofer, I will start with the gross margin and Lars will talk about the FX in a moment then. So when it comes to gross margin, I think the only way to think about this is look at also the order intake split, and that's why I say that you shouldn't expect a significant difference or improvement in the mix from a gross margin perspective in the second half of the year, but it does swing between quarters. And it is important to grow the installed based as well over time. So we believe this is a natural swing in our business. The other factor is related to the covered stent situation in the U.S. When you look at comps, this is a situation that started to become difficult during or after the first -- the second quarter of 2017. It has flattened out since then, so that's one mix effect as well to just be aware of. In terms of, yeah.
Kristofer Liljeberg: First of all, is there any seasonality impacting gross margin we should think about third quarter and fourth quarter in installation? Maybe we will -- with Q4 being a larger quarter, you could have some additional leverage effect that wasn't really coming through during this quarter?
Mattias Perjos: There is some seasonality effect, but I mean, we can't break that down for you on this call. We can help you look at some of the historic patterns and explain those, but I can't give you any forward-looking guidance here. So we can come back to that, separately, I think. When it comes to price erosion, this is something we looked at specifically as well, and there is almost nothing of this. It is a pure market mix and portfolio effect here between categories in the product portfolio and also between capital goods and the recurring revenue. And it's a good question, we're very mindful of avoiding price wars or price erosion. Can we move to FX, Lars?
Lars Sandström: Yes, for your question there on FX, how that is impacting, and I think, if you look at we have a positive impact of 40 million year-over-year here, and we have a negative in this on 69 million whereof 39 million is coming from transaction. So if you purely look at translation then on EBITA level, we still have a negative impact. And that is very much connected to the competition that we have between euros and dollar. And we still have a negative impact on the dollar year-over-year in the second quarter, whereas the euro is supporting and being positive. However, the costs that we have and the revenues we have in euros are pretty stable or in the same level, so it doesn't impact the bottom line so much compared to the dollar, where we have a much bigger impact if you look at the composition on revenue and costs.
Kristofer Liljeberg: So, sorry, do you say U.S. dollar were negative year-over-year for the top line?
Lars Sandström: Yes. Year-over-year in the second quarter, the average rates were actually impacted negative. But yes -- but, of course, now the closing rate we have [indiscernible] the closing rates where we are leaving the quarter is, of course, quite different.
Kristofer Liljeberg: So how much of sales is in U.S. dollar, approximately?
Lars Sandström: We say that around 35% of our revenues over year-over-year is -- sorry it's 35% approximately 50 was dollars coming from the U.S.
Kristofer Liljeberg: You said 45 or 35?
Lars Sandström: 35, 3-5.
Kristofer Liljeberg: Okay. And euro?
Lars Sandström: Euro, I don't have that on top of my mind now, I can come back to you on detail, I don't want to give you a wrong number there.
Operator: Our next question comes from the line of Hans Mähler from Nordea Markets.
Hans Mähler: I have a few question. Following up on the price discussion, you write in the presentation there's no general changes in like-for-like pricing. Does that mean that the underlying pricing pressure is still around 1% plus? Or are you able to offset that by your new product introductions? And my second question is regarding the hernia mesh litigation, the number of lawsuits has grown quite substantially here over the past six months. Do you have any comment on that?
Mattias Perjos: When it comes to price, we've said over time there is a general small price erosion, about 1%. When it comes to do with this quarter, we can't see anything of this really, but I think nothing has changed otherwise fundamentally in the business from a price perspective.
Hans Mähler: But will the product introduction change that, for example, with the introduction in ICT?
Mattias Perjos: I can't guide on that going forward. Of course, everything that we've developed, we really try to make sure that we have an optimum pricing and improve the gross margin. But the combination of everything that's being launched, I cannot give you a guidance on this. And when it comes to the mesh discussion here, this is something that's been going on for quite a while, but we cannot comment on the ongoing processes, I'm sorry.
Hans Mähler: Can you comment on your insurance coverage for that process?
Mattias Perjos: No. We can't -- we're having, of course, some insurance coverage, but we cannot comment on -- to what extent and how this works.
Operator: Thank you. Our next question comes from the line of Scott Bardo from Berenberg. Please go ahead. Your line is now open.
Scott Bardo: So the first question back to gross margin please. Just to understand your comments a little bit better about no real change, if you like, in the back half of the year. Just to understand, I think on an adjusted gross margin basis for the first six months, you report 51.3% gross margin, which is 50 basis points decline on your full year position for 2017. So when you refer to no similar trend, are you assuming a similar magnitude, if you like, of decline for the full year basis, so 50 bps down on your adjusted level last year or are you more referring to the couple of hundred basis points you see on a quarterly decline year-over-year this quarter? So if you could just be a little bit more transparent surrounding gross margin, please? Also I would like just to clarify with respect to the FDA investments that you make, I think you've highlighted here that as of the second quarter you've made something like SEK1.98 billion investments into your remediation activities. But I understand that you only took or you took SEK2 billion provision and you've still got SEK500 million of that still unutilized. So am I correct in assuming then that you've been investing about SEK0.5 billion through your P&L? And just to try and understand, one, if that's true; and two, how you see that the trending now that you are a little bit more positive about your US facilities fully remediating by the end of the year? So they're the first two, and then I have a follow-up. Thank you.
Mattias Perjos: Alright. Thanks. Thanks, Scott. When it comes to the gross margin, the clarification I want to make is that we don't make any guidance going forward for the gross margin. The only thing I wanted to say responding to Kristofer's question was that if you look at the order intake mix in the second quarter, which will translate to sales in the third and the coming quarters, that gives you some guidance. So -- and then that's why you shouldn't expect maybe an immediate swing back to a different mix. So that's the only guidance I can -- will give when it comes to gross margin. When it comes to FDA, the overall direct costs that we've made provisions for are SEK2 billion or close to SEK2 billion. We have half, so SEK498 million remaining of the provision. Of course, there's a lot of additional costs that we'll take into the P&L on this. But this we haven't specified the amount for. So I'm not sure if maybe there's a misunderstanding here in the combination of accrual and what's gone through the P&L.
Scott Bardo: Yes. I think in your report, you say that you've invested SEK1.98 billion as of the second quarter, so that would imply about SEK500 million that you expensed, given that you haven't utilized SEK500 million in your provision, that was the point I raised. But anyway, with respect to direction, given that your two US facilities you're getting a degree of comfort with, do you expect those costs to start to trend down? Can you give any directional comments there?
Mattias Perjos: No, we can't, no, I can't give you any directional comments there. The only thing that we have said is that once we're through remediation, we can start working both with the COGS of the products in those facilities in a more structured way and we can also start leaning the quality management system, because what typically happens when you're through a remediation phase is that you end up with a bit of an over-engineered system that you can make more efficient. But this is a continuous improvement process that will start by the end of this year.
Scott Bardo: Okay. And just a quick one then on covered stents. Can you give us please an indication for what the annualized revenue base is for covered stents today? And what percentage roughly they're declining? And wonder if you could comment a little bit as to the current progress of the PMA filing in the U.S. and what your view is about the likelihood of approval and ability to stabilize that franchise?
Mattias Perjos: Yes. I think the stent business volume before we had the decline was roughly $100 million on an annual basis, that's a rather high gross margin. And we've lost, in the wake of remediation here, about 30% of this volume. That's what you see impacting somewhat the organic growth numbers here. And when it comes to the PMA, we've asked here for a, for an audit, and, but we can't comment on the progress of this and our dialogue with the FDA or give you a time line really, it's really up to them.
Scott Bardo: Okay. Good. And lastly from me, you mentioned that you wanted a bit of operating cost flexibility, and I think you mentioned in your release you expect some slightly higher operating expenses from already relatively high levels. So can you just give us a little flavor as to what that flexibility relates to? Are there any defined programs that are contentious or you're uncertain about? Or where would the areas that could be the swing factors, plus or minus, on the back half of the operating cost burden?
Mattias Perjos: Yes. The flexibility, the way you should read this is that we cannot rule out that we will maybe need to make some incremental investments in the second half of the year, but it's not something that we're guiding for or that we know for sure. And it is related to the ongoing program, so the 4 sites themselves, and a little bit of the overall quality management system as well, but that's probably a bit more marginal. And then the other part of the OpEx perspective area is related to primarily the service organization and a little bit of sales force, mostly in Asia Pacific.
Operator: Our next question comes from the line of Ed Ridley-Day from Redburn. Please go ahead. Your line is now open.
Ed Ridley-Day: Just on the Life Science business, obviously strong performance there. The 4 projects in the UK and Germany you highlight, can we expect ongoing revenues from those projects through the rest of the year? Or effectively you have booked the revenues you expect from those projects in the second quarter? And can you help us think about how we should think about the growth of that business through the second half and going forward?
Lars Sandström: Okay. Let me start on the projects there. These are revenue recognition issues. They are not fully recognized all of them, so there will be some impacts going forward as well on the growth side, on the revenue side on that. Then more on the growth side, I think maybe if Mattias wants to comment on the potential going forward. One thing before I hand over is just to mention on -- in both on the revenue and maybe specific areas that we -- as a comparison, we had quite a low starting point last year. So it's a little bit, as we have said before, a lumpy business when it comes to orders and revenues.
Mattias Perjos: Yes, I think there is not much more I can say on the growth aspect. We haven't changed our view on the business. It is a business that we expect to grow in the range of 5% long term and year-over-year. But it is a very lumpy business quarter-by-quarter. And as Lars said as well, the comps here for the start of 2017 were relatively easy.
Ed Ridley-Day: Okay, that's helpful. And then on -- just a follow-up on the -- just for clarity on your financial costs just to be sure. Obviously, slightly lower interest costs. And can you just clarify the breakdown of the fall -- the sequential fall in your financial costs on the -- in the second quarter?
Lars Sandström: As I mentioned there, in the second quarter compared to the first quarter, we have a positive impact from the currency impact when doing some refunding activities. So looking at the first 6 months together gives you a better picture on what to expect going forward.
Ed Ridley-Day: Okay good. I just wanted to clarify that. Thank you.
Operator: Thank you. Our next question comes from the line of Annette Lykke from Handelsbanken. Please go ahead. Your line is now open.
Annette Lykke: Thank you very much. My first question is in respect to potential additional cost to the FDA, and I think you highlighted that you have had some delay of the tax in hedging and for right now and in a good process, but still some way behind the progress in the U.S. facilities. And my question is simply that, would this mean that we should expect additional or can you exclude additional FDA-related provisions in connection with the hedging or would you be able to compensate by that from the improvements you had in the U.S. facility? My other question is on the Life Science business, you have margins down by -- it's more than 600 basis points, and part of this is the establishment of costs. How much of this is one-off? And how much of this have additional into this division looking forward, has it been a more stable business?
Mattias Perjos: Okay, thanks. When it comes to hedging, nothing has really changed since the previous quarter. We've continued to make progress according to the plan. So the troubled history that you refer to is really back to the -- to 2016 and the beginning of 2017. So the provision we made in Q2 of 2017 is still valid, and the plan that we set out for this is the plan that we're still following as well so -- and this is progressing according to that plan. So there's nothing -- no change in outlook or anything from that perspective. When it comes to the Life Science cost structure, I think this -- the buildup that you've seen here for the structure is also completed. We don't expect any additional costs for this going forward.
Annette Lykke: But would you expect OpEx to stay at the same high levels as it is in Q2?
Mattias Perjos: We don't guide on OpEx going forward, really. But what I will say is that the structure to operate as a fully functional business area is in place.
Annette Lykke: Yes. But can you then, Mattias, comment on whether some of these costs are one-off costs in the establishment? Or is it some costs that we should expect to continue in Q2?
Mattias Perjos: No, I cannot give, quantify or give you details on that.
Annette Lykke: And then you also have highlighted that you are continuing to have a dialogue with the authorities in Brazil. And can you share I mean, should we expect a similar or have you taken the ballpark of it? Or could we wish to see a similar finance you have faced so far and also a similar amount of legal cost looking forward? And what is the time frame here?
Mattias Perjos: We cannot give you any forward-looking guidance because the fact that we've settled or negotiated and settled with one authority, there are multiple authorities, there's partly new legislation, so there are a lot of moving parts here, so I cannot give you any forward-looking guidance. But what I will say then what became public the other week in Brazil is that we are party to the leniency agreement, and we have done everything by the book since we became aware of the issues here.
Operator: Our next question comes from the line of Sten Gustafsson from ABG. Please go ahead. Your line is now open.
Sten Gustafsson: Sten Gustafsson from ABG. Two questions. First on the earnings development here. I can see the business growing if you take the first half roughly 6% on top line, but still your adjusted EBITA is down some 29%. And I was wondering, is this a good proxy for the earnings development for the full year, given that you talked about no major improvement in gross margin sequentially? And also it sounds like even that the OpEx line will come up somewhat. And if you could elaborate a little bit on the logic here, how come you grow so much top line but at a very low profitability? My second question is related to the cash flow, which again here seems to be very low despite a sort of neutral impact from working capital changes. And when can we expect the cash flow generation to improve? I think your Brazil payment will go out in the second half and I see a risk that the working capital changes will turn negative in the second half. So if you can give some clarity on that.
Mattias Perjos: Yes, right. Thanks, Sten, but unfortunately, on both questions you are asking for a forward-looking guidance, which we don't give. I can only reiterate the comments that we've made about the mix up until now in both the net sales and order intake and so on. And your observation on the payment of the fine is true, of course, in the fourth quarter. But change in there -- in our view, nothing has materially changed in the cash profile of the underlying business. But there are a lot of moving parts, we're aware of this and we understand the difficulty in projecting this going forward, but we have decided because of the dynamic phase that we're in, not to give any guidance, neither on EBITA nor on cash flow.
Operator: Our next question comes from the line of Scott Bardo from Berenberg. Please go ahead. Your line is now open.
Scott Bardo: Yes, you mentioned that increasing your installed base will result in higher consumables in the future. Can you give us a feeling for how long that dynamic takes to, if you like, start driving high consumables based on increased capital installed base, please? So that's the first question. Second question, we're still yet to have a date for your Capital Markets Day, can you confirm that, that still is going ahead and give us some signal of when that may be? And just following on from -- on that point, can you give us a rough sense of what we're going to walk away with from the Capital Markets Day? Do you anticipate giving any longer or midterm guidance or benchmarking your operating cost base versus your competitors? Can you give us a feeling for what we're likely to get out of that event?
Mattias Perjos: Okay. If we start with the first one then. When it comes to generating consumables and service from the installed base, if you look at for example, a sterilizer or a washer disinfector, it starts generating consumables from the moment you start using it. But then, of course, there is the warranty period. So for service and spare parts, it only takes a while, depending on the length of the warranty period. But it's not like a long multiyear drawn-out processes. There is some delivery time of course for -- especially for large projects involving, for example, sterilizers. But that's the kind of the underlying dynamic. When it comes to the Capital Markets Day, we have actually -- it does say at the last page of the report under other information, I think it is, with 21st of November, there is a Capital Markets Day in Gothenburg.
Scott Bardo: Great. And a feeling for what we'll likely get from that event?
Mattias Perjos: Yes, we will have a -- more of a deep dive into our product portfolio and markets and so on. We have not decided yet whether we will give more granular guidance on anything beyond organic growth here. So we'll have to come back to you on that.
Scott Bardo: Okay. Perhaps lastly from me, and you touched upon it in your prepared remarks that you are isolating opportunities for the portfolio and the amount of SKUs you have. Can you share some thoughts about how deep your work has gone into the current portfolio structure of getting there? And have you isolated any particular businesses that you think there are better homes for or alternatively new areas that you look to acquire and add to the fold?
Mattias Perjos: Well, we've done a deep dive, both as part of the strategy work last year that we did and also now in preparation for the European Medical Device Regulation that's coming up. So we've done really a deep dive into this, but we'll not put anything on the seller list for the Group. We will provide some more information at the Capital Market Day on the overall portfolio and so on and some of the numbers relating to this, but it's too early to do that today. When it comes to acquisitions and add-ons, we've -- it's really no change since we did the strategy work last year. We believe our core focus areas for example in Critical Care, in Cardiopulmonary remains -- we're keenly interested in expanding our software business as well as part of the total offer to our healthcare customers. Life Science is an area where we see interesting opportunities also for bolt-on acquisitions. That gives you a little bit of flavor of the areas that we're looking for.
Operator: Thank you. Our next question comes from the line of Oliver Reinberg from Kepler Cheuvreux. Please go ahead. Your line is now open.
Oliver Reinberg: Three questions, if I may. I think you had talked about the kind of tougher base to the tougher comps in the second half in terms of why the sales guidance is actually justified. I mean in fact if I look at the organic growth last year was 1.3% and you had 1% in the first half last year. So for me, the comps do not look that different. So if you can talk about that, that would be helpful. And also if you booked in the second quarter any kind of tenders outside of what you already talked about in UK and Germany? Second question, on consumables here, these were overall rather weak with 1.5% organic sales and I think in particular in Surgical Workflows this was minus off 5%. Can you just provide some more color what was driving that? And the last question, in terms of the kind of gross margin headwind we're going to see, can you just talk about how this will continue going forward? I'm not asking for guidance, but the trends you highlighted in terms of stronger growth in emerging markets, I think that's something that may carry also over into next year. Can you talk about if the kind of mix effect from capped goods with consumables is also an issue that may continue for a longer period of time? And finally, long term, do you expect the growth in Acute Care Therapies, which has the highest gross margin, to actually reaccelerate or probably be stronger compared to the group average? Thanks very much.
Mattias Perjos: Yes. All right. Thanks, Oliver. I don't disagree with your observation when it comes to the second half of the year, and I understand it might look prudent to stay within the 2% to 4% range, but that's what we've decided to do based on what we know at the moment. I really cannot comment further on that. When it comes to the balance again or the sales, overall sales of consumables, it is largely, the two things that stand out, I would say, is the covered stent situation, that has been I think seen the biggest impact. We have had some bottlenecks when it comes to service as well in certain areas, and that's why we highlight that we may need to add some service resources in different parts of the world, really. But those are the only things that stand out, out of the ordinary, so to speak.
Oliver Reinberg: Can you comment on the gross margin trends?
Mattias Perjos: No, well not very, unless there's a specific question because otherwise no, not much more than I've already answered to some of the previous questions.
Oliver Reinberg: Okay, but we wouldn't exclude that some of these trends may continue to next year?
Mattias Perjos: Well, we decided not to guide on that going forward. I think I can only reiterate the comment about the order intake you've seen so far. And if you look at the market growth where it tends to come from as well, you shouldn't expect a quick swing back to what it was [indiscernible].
Oliver Reinberg: Okay. Understood. And in terms of the consumable organic growth, I mean, in ACT it was 2.8%. So I think that already includes the kind of headwind from the stents. But in Surgical Workflows you, I think, had some minus 5%. Can you just add some color on that?
Mattias Perjos: Well, in Surgical Workflows, it's more related to the service part, that's the only thing I can, and a little bit of software that is classified as recurring revenue as well.
Operator: Our next question comes from the line of Craig Mcdowell from JP Morgan.
Craig Mcdowell: My first question, whether you could give any updates on like across the EU Medical Device Regulation? Secondly, has there been any change at all in your sales organization? Are you incentivizing [indiscernible]? Or is there anything we should know about there? And then thirdly, just on net debt-to-EBITDA, your leverage, up to 3.5 times, again seems a little high. Can you give any sort of guidance on that at all?
Lars Sandström: Yes, sure. When it comes to the medical device regulation, we don't give any guidance on this. We've talked about it in some of the calls earlier, that is to say it's a gradual or a drawn-out process that I think long term will also be good, it will help productivity because we need to prune the portfolio anyway. But I can't give you any cost details. We've also said that you shouldn't expect a step change when it comes to cost development to manage the EU MDR situation. But that's the only forward guidance that we will give. I didn't hear your second question, there was something about sales incentivizing. Can you repeat that?
Mattias Perjos: A change to the incentive system.
Craig Mcdowell: Yes. It's just whether there's anything -- whether you're incentivizing your sales force differently? Or is there any other reason, I guess, for the increase in organic growth?
Mattias Perjos: No significant change. I think the 2 changes we've made to our incentive system is that they are more harmonized across the group, so people are measured more on the same thing. We've also lifted the ambition level overall for everybody to try to drive growth that way, but those are the 2 significant changes. When it comes to net debt and the leverage, I'll hand over to Lars.
Lars Sandström: It's of course -- we are, as you said at 3.5 now. And normally the second half of the year is our, especially the fourth quarter and when it comes to sales and cash flow, bigger for second half compared to the first half. So we don't expect it to have -- to continue in that sense. And we are not concerned about the level if we go looking forward here a bit.
Craig Mcdowell: Okay. Thank you very much.
Lars Sandström: Thank you.
Operator: Thank you. And there are no more questions in the queue. I will hand the call back to you, Mattias and Lars.